Operator: Good day, everyone, and welcome to the Copart Incorporated First Quarter Fiscal 2024 Earnings Call. Just a reminder, today's conference is being recorded.  Before turning the call over to management, I will share Copart's Safe Harbor Statement. The company's comments today include forward-looking statements within the meaning of Federal Security Laws, including management's current views with respect to trends, opportunities, and uncertainties in the company's markets.  These forward-looking statements involve substantial risks and uncertainties. For more detail on the risks associated with the company's business, we refer you to the section titled Risk Factors in the company's annual report on Form 10-K for the year ended July 31, 2023, and each of the company's subsequent quarterly reports on Form 10-Q. Any forward-looking statements are made as of today, and the company has no obligation to update or revise any forward-looking statements. I'll now turn the call over to the company's Co-CEO, Jeff Liaw. Please go ahead, Jeff. 
Jeff Liaw: Good evening. Welcome to the first quarter earnings call. Let me hand it to Leah briefly for the Safe Harbor. 
Leah Stearns: Oh no, they already did that.
Jeff Liaw: Oh, they already did it, pardon. Well, let's dive in. I'll keep my comments brief. We'll highlight a few recurring themes that you've heard about – that you've heard previously before handing the call to Leah for a more in-depth look at the first quarter, and then we'll take your questions as well.  First, as for our insurance business, we continue to observe a rebound in total loss frequency in the quarter. As you may recall, total loss frequency troughed at just north of 17% in the second calendar quarter of 2022, and it is now 19.3%, according to CCC, in the third calendar quarter of 2023.  You'll note though, that today's total loss frequency remains substantially below pre-COVID highs of 21.7% in the fourth calendar quarter of 2020. We continue to believe the total loss frequency will revert in time to historical levels and eventually well beyond in keeping with all recorded history on this statistic.  Our expectation, our continued expectation is that new and used vehicle prices are likely to stabilize, perhaps decrease more. If and when they do, to do so more steeply than repair costs will, driving an ongoing recovery in total loss frequency.  For the third calendar quarter of 2023 specifically, we observed a 4% decline in the Manheim Used Vehicle Value Index, while accident severity increased by 4% over that same period, as reported by ISS Fast Track.  Although our U.S. insurance volumes continue to increase up 9.7% year-over-year for the quarter, we estimate that total loss volumes continue to remain suppressed when compared to historical total loss frequency norms. And then, as you've heard us say before, a brief reminder on the long-term drivers of total loss frequency.  First, vehicles become more expensive to repair with rising vehicle complexity, advanced components on the perimeter of vehicles in particular, rising labor costs and parts prices. And then, just as importantly, a rising demand for mobility in growing economies and our auction platform and marketing efforts accessing those prospective buyers.  A brief note on the storm season. On our last call, we had talked about a potentially very active storm season, and at that moment we'd experienced 12 named storms, and we've had nine more since, up over 50% versus 2022. Ultimately, only a handful of these storms made landfall in the U.S., with none of them causing a substantial number of vehicular losses in comparison to prior years.  We know all of this now, of course, with the benefit of hindsight. Storms, however, are inherently unpredictable, and the storm season was sufficiently active to cause us to deploy hundreds of team members, co-part owned and third-party tow trucks, co-part owned loaders, telecom equipment, and generators all over the country in anticipation of major loss events.  Last year, Hurricane Ian, the largest storm in our history as measured by Consigned Vehicles, caused us to incur substantial costs, including in the first quarter of 2023, with those units subsequently sold largely in the second and third quarters of fiscal ‘23. We view these undertakings in the aggregate as the normal cost of business in providing excellent service to our customers and our communities.  Turning then to our sellers beyond insurance, we continue to grow our Blue Car business, serving specifically the bank and finance, fleet and rental sellers. In the first quarter we observed year-over-year growth of over 35%. We increased our dealer sales volume over that same period by 13% year-over-year. We speak frequently about the flywheel effect of our platform and the global buyer base that we serve.  Our ongoing growth in these non-insurance customer segments illustrates our ability to leverage the scale and momentum of this flywheel effect, maximizing auction liquidity and ultimately returns for all sellers, insurance and otherwise.  I'll take a moment to comment about our auctions outside of the automotive arena. In addition to gains in the insurance and non-insurance passenger vehicle space, we continue to grow our specialty equipment business as well. By virtue of our serving our insurance and dealer clients, we have long been a substantial remarketer of specialty equipment, including in transportation, construction and agricultural realms.  This past quarter we were pleased to announce a strategic investment in Purple Wave. We have known Aaron and Suzy McKee for over a decade and admire the excellent and growing business in Purple Wave that they and their team have built. They share our ownership mindset, a commitment to delivering excellent outcomes to their marketplace participants, and a digital-first approach. We're delighted to welcome the Purple Wave team and community to the Copart family.  Finally, on the subject of sustainability, last November we published our inaugural ESG report, our first-ever account of our commitment and contributions to environmental sustainability, global economic empowerment, enterprise sustainability, and community sustainability.  We intend to publish our 2023 update in the next month or so. In it, we'll provide updated data on the enhanced mobility that our marketplace provides to developing economies, the accelerated recovery we enable in communities affected by extreme weather events, and our focus on workplace diversity, equity and satisfaction.  And on the critical subject of environmental sustainability, we will again underscore and quantify the emissions avoidance that our business enables. We, of course invest time and resources to optimize our own CO2-equivalent emissions and energy consumption, but overwhelmingly, our most substantial contribution to environmental sustainability is in enabling the recycling and reuse of vehicles and their component parts and materials, meaningfully reducing what would otherwise be the more substantial carbon footprint of new vehicle and parts manufacturing.  As our volume grows, so too does this carbon emissions avoidance. In 2023 we estimate that we have helped the world avoid over 11 million metric tons of carbon dioxide equivalents, up roughly 10% year-over-year, and over 100x more than our actual direct emissions.  With that, I'll turn it over to Leah. 
Leah Stearns: Thanks, Jeff. I'll begin with our sales trends for the first quarter. During the quarter, our global unit sales and inventory increased nearly 13% and 3%, respectively. Given the relatively quiet hurricane season in 2023, our inventory growth was a function of a partial recovery in total loss frequency and share gain. During the quarter, we saw global ASPs decline by approximately 1% versus the prior year.  Focusing on our U.S. business, we experienced strong unit growth of over 10%, which reflected fee unit growth over 10% and purchase unit growth of 14%. Consignment or fee units continue to generate the vast majority of co-parts volume growth, with our insurance units posting nearly 10%, our dealer units posting 13% growth, and our Blue Car units, which include units from fleet, rental and finance companies posting over 35% growth. This unit growth was modestly offset by a decline in low value units from wholesalers and charities.  Inventory levels in the U.S. increased 1% or nearly 12% when excluding low value units and CAD units. In the U.S., ASPs were down 2%, and more specifically, insurance ASPs were down 1.7% compared to the 4% decrease in the Manheim Used Vehicle Price Index.  Turning to our international business, we saw unit growth of over 24%, with fee units increasing over 28%, and purchase units increasing by over 4%. Our international business ended the quarter with inventory levels nearly 14% ahead of the prior year. International ASPs were up 7% compared to the prior year period.  Our auction returns remain strong as we continue to invest in growing our global buyer base by driving member acquisition, activation, and retention. Copart’s auctions provide our insurance customers with best-in-class liquidity and returns, ultimately providing a more cost-effective way to manage growing claims costs by making it more cost-effective to deem damaged vehicles a total loss.  In addition, we continue to invest in expanding our products and services to serve a more diverse mix of sellers and unit types. Examples of this include our national sales, such as our specialty equipment auctions, which primarily sell heavy and medium-duty trucks and agricultural equipment, and our select auction which sells clean title vehicles and now provides buyers with greater transparency in vehicle quality through sale lights and an arbitration policy.  Turning to our financial results for the first quarter, global revenue increased $127 million or about 14%, including a 1% tailwind due to currency. Global service revenue increased nearly $133 million or over 18% for the first quarter, primarily due to higher average revenue per unit and increased volume. U.S. service revenue grew by 17%, and international service revenue grew by 29%.  Global purchased vehicle sales for the first quarter decreased about $6 million or 3%, with U.S. purchased vehicle revenue for the quarter down 19%, which was primarily due to a mix shift, with the decline in our power sports business and PA being offset by an increase in our Copart direct cash-for-cars purchased vehicle revenue.  The U.S. decline was offset by international growth of 19%. Global purchased vehicle gross profit decreased about $2 million for the quarter, with U.S. purchased vehicle gross profit increasing about $2 million and international purchased vehicle gross profit decreasing $4 million, reflecting a 29% increase in cost of vehicle sales.  Global gross profit in the first quarter increased over $94 million or about 26%, and our gross margin percentage increased by approximately 400 basis points to 45.5%. This reflects U.S. margins which increased to 49.9%, and international margins decreasing to 24.9%.  The year-over-year margin increase on a consolidated basis was driven primarily by a mix shift due to the strong growth in fee units in the U.S., which was partially offset by the impact of inflation and a slight decline in purchase unit margins internationally.  On the cost front, during the first quarter of last year, we incurred cap costs, cap expenses specifically related to Hurricane Ian, which did not recur. Operationally, we are focusing on increasingly standardizing processes and leveraging technology and automation to mitigate the inflationary impacts we've experienced across our business. We expect these efforts will drive greater scalability and efficiency across the organization and help mitigate longer-term cost pressures.  Turning to general and administrative expenditures, excluding stock-based compensation and depreciation expenses, G&A's spend in the quarter was $58 million, reflecting an increase in $13 million and includes $3 million due to a one-time maintenance project, the financial consolidation of Purple Wave into our results, and the impact of our overall growth in business. Over the long run, we continue to expect operating leverage as we grow.  Because of our strong revenue growth and moderate cost increases, GAAP operating income increased by nearly 27% to over $395 million for the quarter. First quarter income tax expense was nearly $91 million, which reflects a 21.4% effective tax rate. And finally, first quarter GAAP net income increased by over 35% to over $332 million or $0.34 per diluted common share.  Turning to our liquidity and financial position, liquidity was $3.9 billion as of Q1, which is comprised of $2.6 billion in cash and investments in held to maturity securities and our capacity under our revolving credit facility of over $1.2 billion. For the quarter, we generated operating cash flow of over $375 million, which is an increase of 20% from the prior year period.  In addition, during the first quarter, we invested about $162 million in capital expenditures, with nearly 80% of this amount attributable to our physical infrastructure, and more specifically, capacity expansion, which contributes to our ability to serve our customers while simultaneously reducing our transportation costs and corresponding fuel consumption. Finally, for the quarter, if you take operating cash less CapEx, we've generated $213 million of free cash flow.  I'll conclude with a few remarks about our capital allocation strategy, focusing on investing in our core business and corporate development.  We remain focused on building long-term value for our shareholders and endeavor to continue our strong track record for years to come. To achieve this, we will continue to use our disciplined approach to capital allocation and remain patient, flexible and opportunistic. Our first priority is to deploy capital to grow our core business, where we will continue to invest in our people, operational capabilities, including logistics, technology and real estate, as well as our customer experience.  We also focus on opportunities to diversify our business, including expanding our marketplace capabilities into new geographies or to service new asset types. A prime example of this was our investment into Purple Wave, which like NPA, brings a leading marketplace for a specialized used unit type, which in Purple Wave's case, spans construction agate fleet.  And further, we seek to partner with leaders in areas of technology and innovation, which expand beyond Copart’s core business, but directly support our customers' needs. This includes in InsureTech, where we recently announced a strategic partnership with Hi Marley to accelerate the total loss process for our customers and their policyholders. This approach provides us ample opportunities to grow our core and drive diversification across our business.  And with that, Jeff and I would be happy to take some questions. 
Operator: Thank you. [Operator Instructions]. One moment please while we poll for questions. Our first question today is coming from Bob Labick from CJS Securities. Your line is now live. 
Bob Labick : Good afternoon. Congratulations on continued strong performance. 
Jeff Liaw: Thanks Bob. 
Leah Stearns: Thanks Bob. 
Bob Labick : I wanted to start with Purple Wave. It's an exciting announcement you made I guess last month, and obviously you talked a little bit about it. But maybe you could talk – discuss further what Copart brings to the relationship in addition to obviously to capital. And what are the key goals of the investment, and how will you define success in three to five years? 
Jeff Liaw : Got it. Well Bob, as you know, having followed us for a while, we've talked in the past on multiple occasions about our potential interest in parlaying our expertise in managing high-volume digital auctions, parlaying that expertise into other arenas, including for industrial construction and agricultural equipment. We've actually said that specifically.  And as you know, those kinds of expansions have had to clear a very high bar in the past. We invested or acquired National Power Sports Auctions in 2017 and have been very careful or disciplined about extending beyond that before and since. We've known Aaron and Suzy forever, literally before I arrived at Copart myself, and we have tremendous respect for the community and the business that they and their team have built.  As you noted, we'll bring capital, expertise and relationships to help grow their business, and they, in turn, provide us with additional expertise in the equipment space, as MPA did in Power Sports as well.  So we'll measure growth as we – we’ll measure success or determine success as we do with our own core business. Are we able to grow it profitably to serve more buyers and sellers in a meaningful way over the course of the next five, 10 and 20 years? 
Bob Labick : Okay, great. And then, obviously, you highlighted a lot of success. You have a lot of major initiatives going on or I guess just ongoing initiatives, including gaining market share in the insurance and salvage market, the acceleration and whole car market, Purple Wave, which we just talked about, and your international growth. How do you prioritize time and capital, and how would you rank the time and capital investments towards those initiatives, salvage market share gains, whole car acceleration, Purple Wave and international growth? 
Jeff Liaw: Yeah, I think it's a fair question. And as you know, Bob, we maintain a conservative balance sheet in part so that capital is by and large not the constraint, that when there are opportunities to serve our sellers and buyers better, to grow our platform, to grow our business, that we aren't constrained at the moment, and also so that we can opportunistically acquire real estate and so forth.  But the ultimate scarce resource is our own bandwidth, our ability to pursue initiatives successfully. I think you highlighted, really, the priorities for the enterprise, and I don't think we stack rank them necessarily. It's critical to us that we serve our insurance sellers and buyers better over the years to come. We mentioned in passing some of the tools that we're working on to equip them to make better and faster decisions, to yield better economic outcomes. In particular, we've been focused on reducing their advance charges. In many cases insurance companies incur literally thousands of dollars of storage and tear-down costs on cars that any one of us would have known as a total loss at the scene of the accident. And we are committed to developing the tools and processes to enable them to sidestep that entire food chain, just to avoid all those unnecessary costs that ultimately inflate their claims costs as a result.  So insurance is critical. The international markets as you noted are critical to us as well. As you know, also, even using one word to capture all of them, it's an oversimplification. Canada and Brazil and Germany and the U.K. and Finland are all radically different from one another, the Middle East and Spain and so forth, but growth there is a priority as well.  And then certainly as you know and as you've seen in the unit growth trajectory, the non-insurance domain is important to us, not just in isolation, not just because it is a profitable and growing enterprise, but because we view it as instrumental to serving our insurance companies better as well. The liquidity flywheel is real, and it's our job to make sure that we're spinning it faster with each passing year. 
Bob Labick : Great. Thank you very much. 
Jeff Liaw: Thanks Bob. 
Operator: Thank you. Next question is coming from Craig Kennison from Baird. Your line is now live. 
Craig Kennison: Hey, good afternoon. Thanks for taking my question as well. I wanted to follow up on Purple Wave. And I'm curious, is there a chance that your real estate footprint brings new value to this platform? It's my understanding they have an on-site auction process, and I'm curious if your real estate is part of the synergy you see. 
Jeff Liaw: Craig, they have built one of the very largest yellow iron auction platforms without any real estate whatsoever. So they have a digital-only platform, as you noted, to sell in place. On the margin, I think we look to opportunities to potentially partner with them. That's not ultimately the foundation of the investment itself. It really is backing an exceptional team that's built an exceptional community and business.  So we'll explore those kinds of ways to cooperate, whether it comes to customer relationships, certain technology expertise, real estate in some cases, and so forth. Those are all on the table, but fundamentally it is about backing an exceptional team. 
Craig Kennison: And are you in a position now to bid on large liquidations? We know there was one, Yellow, for example. Are you able to help them bid on those types of deals? Was that always possible for them, given their footprint? 
Jeff Liaw: I think we are able. I'm not – that doesn't mean we will. But really across our entire business, principal investments in inventory are just a necessary enabling mechanism to ultimately win consignment volume. So there was an era in which we bought the vast majority of the vehicles we sold on behalf of insurance companies from them, so we took the principal risk on the cars.  Over time, the better customer service outcome is for us to sell it on the consignment basis for our sellers and we to sit on the same side of the table, rooting for the highest possible prices. So if we were to do so in the Yellow Iron arena, it would again, be as an enabling mechanism to a consignment future. It is not an end state in and of itself. 
Craig Kennison: Thanks. And one for you, Leah, if I could. I think you mentioned incurring some cost as you deployed resources in advance of potential hurricane situations. Even though that didn't produce volume, you still had to incur that cost. Is there a way to quantify the implication there? The impact. 
Leah Stearns : No, it's really just part of our ongoing normalized cost structure. We do it every year in anticipation of hurricane season, and we did the same thing this year as we had done previously. We just did not experience the elevated level of repositioning folks and the kind of acute cost levels that we experience when there is a severe storm that does actually hit, and there's significant recoveries that happen shortly thereafter.  So I would not look to call it out specifically, because it's just part of our ongoing cost structure. 
Jeff Liaw: Craig, I would characterize in the aggregate, it's very substantial, right. Meaning, we could undertake the rigorous accounting exercise of figuring out how much have we spent. Once and on an ongoing basis to maintain ex hundreds of acres of available land in Florida, North Carolina, New Jersey, New York, etcetera.  We could quantify the elevated tow expense we pay year round by virtue of operating our own trucks, etcetera, etcetera, and try to capture the full life cycle elevated cost that we incur as a result. But in the end, we just accept that it's a necessary cost of doing business. It helps empower our customers to trust us in a time of need. And if volume suddenly spikes 10x or 20-fold in a given region, that we very much are positioned to handle it. 
Craig Kennison: That's great. Yeah, thank you, Jeff and Leah. 
Jeff Liaw: Thanks, Craig. 
Operator: Thank you. Next question today is coming from Daniel Imbro from Stephens. Your line is now live. 
Daniel Imbro : Yeah. Hey, good afternoon everybody. Thanks for taking our questions. 
Jeff Liaw: Hey Dan.
Daniel Imbro : Jeff, I wanted to start maybe on the insurance side. Maybe ask another way on the market share, obviously there was a peer talking about some share shifting. I don't think you'll comment on it, but more curious around when you measure success or how you measure your comparative returns to the industry or to peers, are you seeing that gap widen? And if so, is that accelerating with all the investments, the strategic investments you're making? 
Jeff Liaw: Yeah Daniel, I think it's a fair question. I think you rightly anticipated our reluctance. As you know, we don't comment – out of respect, frankly, for the confidential decision-making processes of our clients, we just don't want to comment on them individually. But generally, I think you are rightly focused on the ultimate decision rule, which is the delivered economic outcomes that we provide to our customers.  And so if I had to more generically say, how does an insurance company decide who to use for their salvage remarketing services, I'd cite five general principles. One is delivered auction outcomes. We believe we're truly differentiated by virtue of our global buyer base and our auction platform.  We believe – and by the way, we define our competition pretty expansively, right. It's not just the competitor that you have in mind, but it's all the other possible outcomes for vehicles, whether it's repair, owner retention, sale through other auction platforms, hand-selling, retailing, from the perspective of our rental car customers. We define that competition very expansively.  But nonetheless, the five principles are – or the five priorities are delivered auction returns, the service that we provide to our sellers, as measured in our ability to recover vehicles, in some cases from very difficult circumstances, our ability to process titles efficiently, and to provide them with the tools they need to make better and faster decisions. The third element I'd cite is the service we provide to our clients' clients. So, in the case of insurance, to the policyholders to whom we believe we provide a differentiated title retrieval and loan payoff process today, with the gap widening over time as well.  Fourth, I'd say is the ability to do all of the above, both in the ordinary course, as well as in an extreme weather event, to gracefully manage all of these processes, even if volume again spikes ten-fold or twenty-fold in a given period of time in a given region.  And then fifth, and I think this is more esoteric, but I think it's real, is the assurance that due to our land ownership, our technology platform, our people and culture and capital structure, that we're here for the long haul, and that when we make promises, we will absolutely deliver on them.  So to your narrower question about the auction returns, I do believe the gap is substantial. I do believe that it's growing. Now, it's difficult to quantify, because no given car is ever transacted on multiple platforms, right. The car sells here or it is sold at a rental car retail lot, or it's sold at a different auction house. And so a true, perfectly apples-to-apples comparison in a given moment is difficult. But I think the evidence, the preponderance of the evidence based on seller behavior over the years, is yes, that we deliver superior economic outcomes, in large part due to better auction returns, but also to the service elements that I cited a moment ago. 
Daniel Imbro : Understood. Have to try sometimes. And then maybe a follow-up on the non-insurance side. You've gained, obviously, a lot of market share in the last few years. Into ‘24, obviously that wholesale volume backdrop should improve just as we look across dealer or commercial. I guess, can you talk about incremental cost to serve? Are those vehicles any more cumbersome on the income statement, as you think about any selling costs associated with that volume or would it be a similar kind of incremental flow-through, as we think about just typical insurance volume? 
Jeff Liaw: Individually, they are not materially different. I think to serve financial institutions, there are certainly a different level of compliance and certain different processes. So it's more like when we choose to emphasize a new type of seller, we have to develop certain capabilities of equal disclosure and otherwise. So it's not per se volume-driven. It's more just the nature of the sellers that we're targeting. I think by and large the categories we've now all touched, so I don't think the contribution economics are materially different. 
Leah Stearns: And, Daniel, I would just add that we've spent a lot of time over the last 12 months developing the capabilities across our technology platform to address some of those needs. So the sale as I talked about arbitration policy that is now available at Copart, those are all items that are more familiar to our Blue Car seller – or sorry, the members who are purchasing those Blue Car units. And so we've been forward-thinking about preparing ourselves for that potential future demand. 
Daniel Imbro : Great. Thank you both for all the color and best of luck! 
Jeff Liaw: Thanks, Daniel. 
Operator: Thank you. Next question is coming from Bret Jordan from Jefferies. Your line is now live. 
Bret Jordan : Hey, good afternoon, guys. 
Jeff Liaw: Hey, Bret. 
Bret Jordan : On the international side, could you talk a bit more specifically about what you're seeing in the EU? And obviously Germany, Finland, Spain have been potentially large growth markets. Could you address those? 
Jeff Liaw: Yes. And I'll separate Finland for a moment. Finland is frankly more like the UK, Canada, and the U.S. and that that has long been a gross settlement market in which insurance carriers simply pay the owner's PAB or ACB, the intact value of the car, and then they can sign that vehicle to the salvage auction.  So we acquired that salvage auction some years ago, and the business is trending well. Some of the same underlying trends that you expect here – rising total loss frequency with a dip during the COVID-19 period when vehicle prices skyrocketed. But otherwise, fundamentally similar, though fundamentally, of course, not a huge population or a huge market in and of itself.  Then the UK, I'll set aside as well. That mirrors the U.S. in some regards, obviously some noise from Brexit and otherwise. But by and large, similar overriding picture there, overall picture there, which is to say total loss frequency growth, market share growth and good marginal economics there as well.  As for Germany and Spain, I think that's probably what you have in mind, Germany and Spain and by extension, the rest of Western Europe. Those are the net settlement markets to which we have offered, as you know, a handful of different service propositions, including initially buying cars more aggressively than migrating more to a consignment model.  We continue to build our businesses in both countries. We continue to earn the trust of our insurance company sellers, continue to innovate and experiment with them. So there's nothing radically new to report there. 
Bret Jordan : Okay. And then I guess housekeeping, the non-insurance business, Blue Car is plus 35 and Dealer is plus 13, could you size those two businesses relative to each other within non-insurance? 
Jeff Liaw: I don't think we have. They are both meaningful to us in terms of the P&L though. Both Blue Car and the Dealer segments are both meaningful volume, meaningful contribution. You'll hear the carve out when we describe the wholesalers and charities. That's business also that we endeavor to serve. We call these the lower value vehicles. Those together, Copart Direct as well, would constitute, would be characterized as a non-insurance space. But Dealers and Blue Car are the large ones among them. 
Bret Jordan : Right. But relative to each other, is Dealer larger and that's why it grows at a lower rate or are they similarly sized to the unit standpoint? 
Jeff Liaw: Dealer is larger, more mature, meaning we've been pursuing that business for longer. Though, as I think you've heard us say in the past, as the insurance business evolves, as more cars look like perfectly intact, drivable vehicles, the buyer base for our vehicles is relevant for more and more of the Dealer cars as well. So it's not a static game with every week or month or year that goes by more Dealer cars are addressable than in the period prior. 
Bret Jordan : Okay. I love that you converted the treasury position to cash just on the cash flow statement. Is there anything there? 
Leah Stearns: No, that's just really a reflection of the movement in the yield curve. So the longer than 90-day maturities did mature, and we've held them in shorter than 90-day treasury securities since then. 
Bret Jordan : Okay, great. Thank you. 
Jeff Liaw: Thanks, Bret. 
Operator: [Operator Instructions]. Our next question is coming from John Healy from Northcoast Research. Your line is now live. 
Leah Stearns: John? 
Operator: John, perhaps your phone is on mute. 
John Healy : Sorry about that guys. Just wanted to ask a little bit about the whole car opportunity. I think you guys talked about the finance business growing multiple digits for you. I assume that's kind of analogous to repo.  When you look at the repo business, have you made good strides there? I mean, is that the right way to read it? And when you look at how repo cars kind of moved through the process, I've always thought they went through repo agents, and then they go to impound lots and things like that.  Is there any structural difference with how you are going to market that maybe present in the savings to these finance companies, maybe in terms of storage than maybe what the traditional model held, maybe through other mechanisms of the marketing? 
Jeff Liaw: John, I think you're right that the vehicles from financial institutions are in large part repossessions. There are other use cases. And repossessions, of course, in some cases are very straightforward and come straight to us from the financial institution. In other cases, the cars can be trapped at impound facilities.  We do think we bring some unique capabilities there in terms of the ability to navigate the vehicle retrieval process. It's both – it’s a combination of technology as well as human expertise. I think we offer both in that regard.  Then of course again, the auction platform itself generates strong returns. So in the aggregate that the ability to get the car faster, the ability in some cases to liberate cars that otherwise would be trapped altogether, that may be abandoned, for example, and then to generate good returns on all of the above is what's enabled our growth there. 
John Healy : Okay, great. And then just one clarification question. I think when you guys press-released Purple Wave, you guys called it an investment. I think you've used that phrase today a few times, but you've also talked about consolidating that business. Can you just confirm to us how much of that business you bought? And really, what drove you guys from being familiar with them to, in your words, family with them? What drove the timing? And just any thoughts of where we're at in the equipment for marketing cycle, just how you and Leah have studied that? 
Jeff Liaw: Oh, on that, I don't think we would. We would never characterize ourselves as particularly savvy in timing the market. So it's not that we see a rebound or not in the Yellow Iron space. I think Purple Wave is just a company we have profoundly respected and have had a multiple years-long dialogue with how and why deals ultimately come to – by the way, the same was true for NPA. Leading up to June of 2017, we've been in dialogue with them for a decade as well.  And what ultimately causes the deal to get over the finish line for two parties to reach that conclusion together is a mix of, of course, objective fact and serendipity and just random timing as well. So it was not our trying to time the market per se.  We have acquired a majority stake in the business. But it was important for us and important for Aaron and Suzy that they continue to retain a meaningful economic share as well. And we are committed and they are committed to growing that business profitably for years to come. 
John Healy : Great. Thank you, guys.
Jeff Liaw: Thanks, John. 
Operator: Thank you. Next question is coming from Chris Bottiglieri from BNP Paribas. Your line is now live. 
Chris Bottiglieri : Hey, thanks for taking the question. I guess the first one is on the – like where is non-insurance today in mix? I think you've given that a pass. And then two, at the 35% growth in Blue Car sounds really high. Is that just broad-based? I would think a lot of those markets are like cyclically depressed right now. So is it broad-based or did you win like a couple of large accounts that are driving some of that? And then I have a follow-up? Thank you. 
Jeff Liaw: First question. 
Leah Stearns: The mix. 
Jeff Liaw: Oh, 25% circa, and a very seasonal issue, Chris, frankly with charity volumes spiking in the fourth quarter, first calendar quarter. We'll call it one out of – just from memory over a longer period of time, one out of four cars is from someone that's not an insurance carrier. But as you know, both portions of our business have been growing very meaningfully. So insurance is growing and also the Blue Car, Dealer segments as well.  And then as to your question about growth within the Blue Car arena, it is across different types of sellers. So it includes banks. It includes rental car companies. It includes corporate fleets and its multiple accounts in each. So it's not one big seller driving the performance of that business. 
Chris Bottiglieri : Yeah, okay. And then the second question is more of a cost question. But when you onboard a larger customer, and this has happened periodically as you've won a lot of accounts over the years, what does this mean for expenses? Do you typically see like an increase in headcount or capacity? Is there anything you’d do differently when you're anticipating a 4% or 5% customer coming on board? How do you handle that? What does that mean for the P&L before that volume arrives? 
Jeff Liaw: That's a fair question, Chris, and I would say I assume you intend to question largely for insurance. Is that fair? 
Chris Bottiglieri : Yeah, correct, for insurance. If you win a large insurance customer, how does that impact the P&L ahead of time where the volume shows? 
Jeff Liaw: It's highly idiosyncratic. There are some insurance carriers that we will serve for the first time or we'll sign them up for the first time. And in that case, the startup costs so to speak, depends in large part on their choice of technology platforms, what their business process looks like, and what it takes for us to integrate with them. In other cases we'll have customers that we already serve and very substantially so, and we're merely taking on additional states that we don't already have. The marginal corporate cost, so to speak, at headquarters for technology and process development and so forth, is more modest in that case, as you might imagine.  In the field, the costs certainly are substantial. We will hire additional folks in our facilities to handle both the physical movement and receipt of cars, as well as the back of the house title processing, the title transfer process, loan payoff, title procurement, etcetera, that we scale up as well to serve the customer. And as you noted, generally speaking, somewhat in advance of that customer turning on their new business. We can't afford to drop the ball once it's on, so we make sure we scale up operations beforehand. 
Chris Bottiglieri : Yeah, so I mean that's what I surmised. Okay, thank you so much. I really appreciate it.
Jeff Liaw: Thanks, Chris. 
Operator: Thank you. Next question is coming from Ryan Brinkman from JP Morgan. Your line is now live. 
Unidentified Participant: Hi. This is Josh Batra [ph] on for Ryan Brinkman. Thanks for taking my question and congrats on a solid quarter. Just wanted to get a sense of how you're thinking about the cadence of auction fees going forward. Do you continue to see room for price increases, even as used car pricing has started to moderate meaningfully over the past few months? And then it seems like some of your peers on the dealer side have increased their fees, and I'm wondering if Copart has followed suit. 
Jeff Liaw: Yeah, the fees, as you know from having followed us for a while, are something we evaluate on an ongoing basis. We don't adhere to a regular schedule, so to speak, because there's not an annual schedule change of any kind. We evaluate the market, we evaluate competitors, and we evaluate our own value proposition and what we think we're bringing to the ecosystem broadly. So we have not in the past commented on this matter specifically. I don't expect that we will any time soon. 
Unidentified Participant: Got it. That's helpful, color. And then as a follow-up, the broader wholesale industry environment seems to be getting more supportive of the Blue Car and Dealer wholesale initiative. And while growth is already very solid there, just wondering, given the backdrop, what would you be considering to accelerate the growth in those segments into 2024? 
Jeff Liaw: No step function changes. I think it's a matter of further execution on our part. We continue to invest very aggressively in our international buyer base. And there are, as I noted, a host of different competitors that we encounter in this space.  We think that our value proposition is principally that we are very efficient at retrieving vehicles, and we are very effective at finding the highest and best use of that vehicle wherever that is in the world. That international buyer base is powerful for that business segment as well. And our online platform, Digital First Sales, I think ultimately identifies the right buyer for that car wherever that person is in the world.  So there's no step function change. You'll see, or our sellers will see additional enhancements, additional capabilities, but I wouldn't characterize any of them as being a meaningful step function change. 
Unidentified Participant: Great. Thanks for taking my question, and good luck. 
Jeff Liaw: Thank you. 
Leah Stearns: Thank you. 
Operator: Thank you. We've reached the end of our question-and-answer session. I'd like to turn the floor back over to Jeff for any further closing comments. 
Jeff Liaw : Nope. Thank you everybody. We'll talk to you after the second quarter. 
Operator: Thank you. That does conclude today's teleconference and webcast. Please disconnect your line at this time and have a wonderful day. We thank you for your participation today.